Hugo Nunes: Good day, everyone, and welcome to Thungela's 2024 Interim Results Presentation for the six months ended 30 June 2024. I'm Hugo Nunes, Head of Investor Relations for Thungela, and I would like to take a couple of minutes to introduce today's agenda and to explain how this event will run. Our CEO, July Ndlovu will share the highlights for the first half of 2024. Our CFO, Deon Smith, will then talk through the financial and operational results for the period under review, as well as provide an update on guidance. This will be followed by July concluding the presentation. We will then open up the Q&A session, providing those on the call and webinar the opportunity to ask questions. Turning to Q&A. For those wishing to ask questions directly, we ask that you please join the session using the facility conference call provided, as we can only take direct questions through this facility. [Operator Instructions] For those joining via the webinar, you will have the opportunity to submit questions via text, which will then be read out during the Q&A session. Now, please allow me to hand over to our CEO, July Ndlovu.
July Ndlovu: Thanks, Hugo, and thank you to everyone on the call. I'm pleased to share with you Thungela's 2024 interim results that demonstrate our track record of executing on our strategic priorities as we build a long life competitive business. We remain steadfast in our focus on controlling the controllables. On safety, we are unwavering in our commitment to operate a fatality-free business, and are proud to report that we've been operating for 18 months without a loss of life. In South Africa, we also achieved our lowest total recordable case frequency rate of 0.99, down from 1.4 in 2023. Operational performance for the first six months of the year is in line with 2024 guidance in South Africa and is ahead of full year guidance in Australia. And as a result, we are upgrading the production guidance at Ensham. Group export salable production is at 7.8 million tonnes, up from 6.1 million tonnes last year. We are particularly pleased with the strong operational performance at Ensham, producing 1.6 million tonnes of export salable production on an 85% basis or 1.9 million tonnes on 100% basis. Group capital expenditure ramped up to ZAR1.5 billion, reflecting the disciplined execution of our two life extension projects in South Africa, being Elders and Zibulo North shaft. These projects remain on track and on budget. These projects are key to improving our long-term competitiveness as some of our older mines come to the end of their lives over the next couple of years. The operating environment in the first half was challenging. External factors such as the softer coal prices, that has steadily declined from the record high seen in 2022, compounded by the underperformance of Transnet Freight Rail, negatively impacted our financial results in comparison to the same period last year. We are reporting a profit of ZAR1.2 billion for the period. One of our highlights, as you will see, is our Australian operation Ensham, which has delivered solid performance, contributing nearly one-third to our profit, exceeding our expectations and justifying the group's geographic diversification strategy. We generated ZAR936 million in adjusted operating free cash flow, which resulted in a net cash position of ZAR6.7 billion at 30 June 2024. These results have allowed us to declare an interim ordinary cash dividend of ZAR281 million or ZAR2 per share. In addition, the Board has approved a share buyback of up to ZAR160 million. This amounts to shareholder returns of ZAR441 million, representing 47% of adjusted operating free cash flow. This Sisonke Employee Scheme and Nkulo Community Partnership Trust will also receive, together, a collective ZAR31 million. Deon will walk you through the financial details in a moment. Our increased focus on accountability, safety culture and third-party reviews to improve critical control effectiveness is delivering meaningful safety improvements. In Australia, the total recordable case frequency rate significantly improved to 11.64 from 22.63 ended December 2023 reflecting proactive efforts to align Ensham safety systems with Thungela's work practices where it is appropriate. Coming to our life extension projects. Our two life extension projects at Elders and Zibulo North Shaft remain on track and on budget. At Elders, we spent ZAR1.4 billion to date. In addition, we expect to spend approximately ZAR350 million in the second half of this year and a further ZAR100 million in 2025. As a result, anticipated total cost has been revised down to ZAR1.9 billion from ZAR2 billion. At Zibulo North Shaft, we will spend ZAR1.1 billion to date, with approximately ZAR740 million to be spent in the second half of this year and ZAR510 million to be spent in 2025 and 2026. The Elders and the Zibulo North Shaft extension projects will extend our life of mine for the South African operations from the initial eight years at listing in 2021 to approximately 15 years. Just to be clear, 2024 was always going to be our peak funding in terms of our projects. Let's just reflect on the one key constraint to our South African business. There has been little improvement TFR performance at 47.3 million tonnes on an annualized basis for the industry, in comparison to ZAR47.9 million railed in 2023. The single biggest impact was the two derailments which accounted for approximately 600,000 tonnes of lost export equity sold for Thungela. The South African coal industry, including Thungela, continues to support TFR initiatives to improve performance, such as the deployment of security on the rail line, the acquisition of critical spares for the locomotives and the provision of assistance when derailments occur on the line. These costs continued to be recovered through the mutual cooperation agreement between Transnet and the industry. While we believe that the correct building blocks are being implemented by TFR, we only expect to see improved rail performance from 2025. I must acknowledge the new Transnet leadership's effort and commitment to improving performance. I would like to pause a little bit on the market. A number of factors continue to impact short-term demand and pricing. A key factor which followed the surge in coal prices at the onset of the Russia-Ukraine conflict remains the energy security for countries. Geopolitics will continue to impact the energy complex and result in volatility in supply and pricing of these commodities, as well as country and company ESG commitments. As we enter the winter season in the Northern Hemisphere, we expect gas and coal restocking to commence, even though a number of countries at fairly high coal and gas stocks coming the end of the current summer. It is widely expected that the Southern Hemisphere will experienced La Nina conditions during the summer months in late 2024 and early 2025. The higher rainfall will potentially impact core supply regions, such as South Africa, Australia and Colombia, which is expected to support short-term pricing. The global economic impact, such as the weakening or strengthening of currencies, also influences coal pricing and demand. However, we believe that the long-term fundamentals of coal remain robust, supporting our strategic framework. So with that, let's turn the long-term fundamentals. First, our marketing business Thungela Marketing International is fully operational in Dubai and is responsible for the marketing of a South African and Australian coal. The establishment of our own marketing function and business positions us closer to the key demand markets, while capturing the full margin on our products. Global demand for coal reached a record high of 8.7 billion tonnes in 2023. Despite the decline in coal use in the United States and Europe, coal remain a crucial energy source for electricity, steel and cement production worldwide. The increasing demand from emerging markets therefore continuous to outweigh the efforts to phase out coal globally. In addition, we continue to see the energy transition further delayed as energy security considerations become a priority amidst geopolitical tensions and potential supply disruptions. Supply will be impacted by restrictive ESG policies and limited access to capital and insurance, which would discourage new production coming online. These factors provide an opportunity for Thungela as we have access to existing high-quality coal reserves and resources. With that, let me hand over to Deon Smith to take us through the detailed financial and operational performance. Deon?
Deon Smith: Thank you, July, and to those online for making the time to dial in to our interim results presentation. So we are pleased to present a set of financial results that demonstrate Thungela's ability to navigate challenging marketing conditions resulting from softer coal prices and continued underperformance by TFR in South Africa. And as a reminder, the 2023 first half results do not include Australia as the effective date of the acquisition was 31 August 2023. Adjusted EBITDA for the period was ZAR2.1 billion compared to ZAR4.4 billion in the first half of 2023, with Ensham contributing approximately ZAR1 billion for the first six months of this year. Net profit is reported at ZAR1.2 billion compared to ZAR3 billion in the comparative period year-on-year. Decrease was mainly due to lower coal prices, but we'll unpack this a little later today. The group generated cash flows from operating activities of ZAR1.7 billion in the first half of 2024. And after our investment in sustaining capital of just over ZAR700 million, this resulted in adjusted operating free cash flow of just under ZAR1 billion for the reporting period. While I'll unpack net cash in more detail later in the presentation, our net cash at the end of the period was reported at ZAR6.7 billion. During the reporting period, we distributed ZAR1.8 billion to shareholders through cash dividends and through share buyback. Our share buyback resulted in 2.35% of our issued share capital being acquired in the market and being held as treasury shares. Given the timing of the share buyback, the impact on earnings per share will be more pronounced in the second half of 2024 and obviously from 2025 onwards. Our earnings per share for the period was around ZAR9.52. So that is at the upper end of the range we provided in the pre-close in June, mainly due to the favorable mark-to-market movements on forward exchange contracts at the end of June. So we remain committed to our stated dividend policy, which is, as July just mentioned, to distribute a minimum of 30% of adjusted operating free cash flow to shareholders. The Board has declared an ordinary cash dividend of ZAR2 per share and also approved a share buyback of up to ZAR160 million, and that's obviously subject to favorable market conditions. In aggregate, this amounts to a total return of ZAR441 million to shareholders, and that represents just shy of 50% of our adjusted operating free cash flow for the first half of 2024. The share buyback is expected to be completed during the second half, and that's pursuant to the authority that we obtained at the Group's most recent AGM in early June 2024. The financial outcomes are based on the following operational results. As July said earlier, we continue to control the controllables best we can, and our operational performance is not only in line with guidance, but in some instances, likely to exceed guidance. Export saleable production was recorded at 7.8 million tonnes for the group. We achieved 6.2 million tonnes in South Africa, which is marginally higher than the 6.1 million tonnes in June 2023. The increase was mainly due to improvements in production and output from operations that, you might recall, previously were constrained due to stockpile challenges. Ensham had particularly strong performance and recorded production on an 85% basis of 1.6 million tonnes. On a 100% basis, that's 1.9 million tonnes for the first half of the year. Export equity sales from South Africa was 6 million tonnes and export sales from Ensham 2.1 million. That's obviously on a 100% basis. South Africa recorded an FOB cost per export tonne, excluding royalties, of ZAR1,189. And Ensham recorded an FOB cost per export tonne of ZAR1,360 excluding royalties. Sustaining capital expenditure was just over ZAR700 million, of which, two-thirds were spent in South Africa and one-third in Australia. Expansionary CapEx ramped up to approximately ZAR800 million as we make progress on our two ongoing life extension projects that July mentioned earlier. Production in South Africa is at the upper end of a guidance range of between 11.5 and 12.5 for the full year. And unit cost is the low end of the guidance, and that's mainly due to this higher production run rate, but also continued cost control across our operations. Ensham production is above the upper end of the guidance range of between 3.2 million tonnes and 3.5 million for the full year. And the unit cost is also below guidance, also due to higher production and a number of cash cost improvements. So if we now reflect on the markets that we operate in, energy prices continue to soften over the first half of 2024, driven by a milder winter in the Northern Hemisphere and also coupled with high coal and gas stocks. Support in Asian region was driven by restocking activity ahead of the summer season. Reflecting on our coal price graph, the Richards Bay Benchmark coal prices averaged $101 per tonne in the first half of 2021 compared to $129 per tonne in last year's first half. We achieved an average discount on the Richards Bay coal price of 15% in the first half of 2024. This compares to 14% for the full year 2023, notwithstanding the sale of lower quality coal in our export sales mix in the current period. Our export sales mix is likely to have a higher quality coal in the second half of the year as we've now sold most of the historically lower quality stocks that we accumulated in periods we were unable to roll all of our production. The average Newcastle coal price for the first half of 2024 was $131 per tonne compared to the $204 per tonne in the first half of 2023. The average achieved coal price for Ensham was approximately $119 a tonne, representing a discount of 9% to the benchmark. This discount is wider than previously observed and expected given buyers and customers' views that there's a disconnect between Newcastle Benchmark and the actual demand and supply of coal during the period, and I'll unpack that a bit later on again. We have expect discounts to narrow slightly in the second half of the year. Approximately 20% of the sales from Ensham in the period are priced based, the Japanese Reference Price, which is yet to be settled in the market for 2024. Our South African stock levels decreased by approximately 200,000 tonnes, mainly due to free-on-truck sales as rail performance continue to constrain our export sales. These free-on-truck sales were concluded at prices well below export prices at RBCT, and therefore, represent a margin enhancement opportunity for the South African business in the future and that's clearly once TFR constraints are resolved. The derailments, coupled with strong June sales months resulted in fairly low port stocks at the end of June 2024. The Ensham mine produced 1.6 million tonnes of export saleable production on an 85% basis following the introduction of a fifth mining unit on approval of licenses, which allowed us to expand the operational footprint of that mine. We also purchased approximately 300,000 tonnes of equity coal from our JV participant, representing a 15% of Ensham's production. The annualized production run rate for the first half of the year at around 3.8 million tonnes on 100% demonstrates an annualized run rate improvement of 40% compared to the run rate of 2.7 million tonnes when we took operational control of Ensham in September 2023. As a result of the strong production momentum and our continued focus on productivity improvement, this has resulted in an upward revision of our full year production guidance. Turning our focus to costs. Operating costs for the first half of 2024, increased by ZAR5.2 billion compared to the first half of 2023, with the inclusion of Ensham's operating cost of ZAR4.2 billion for the period. Operating costs in South Africa increased by ZAR917 million or 9%, driven by inflation, approximately 6.4% in higher inventory draw down compared to the first half of 2023, around ZAR600 million. Production costs reduced due to the curtailment of production in 2023 and the transitioning of the Rietvlei mine to care and maintenance during the early part of 2024. The purchase of third-party coal to fulfil contractual sales obligations was necessitated following the timing of two derailments by TFR. On a unit cost basis, the FOB cost per export tonne for South Africa was at the lower end of our guidance, increased to ZAR1,189 including royalties. This increase was mainly due to inflation of approximately 6.5% compared with the impact of the lower domestic sales revenue offset. We also recorded above-inflation cost increases on a per unit selling expense across both rail and port. We earlier mentioned the ZAR4.2 billion operating cost at Ensham for the first half of the year. The online cash costs were ZAR2.1 billion, of which, 29% is spent on employee-related costs. Royalties on a per tonne basis were around AUD22 per tonne, were slightly higher than anticipated due to a portion of the coal sales invoiced at the 2023 Japanese Reference Price of $199 per tonne. We accordingly expect a royalty credit in the second half of the year. Logistics costs are approximately AUD28 per tonne, and we expect it to reduce in the second half of the year following the successful price renegotiations with the rail operator. Looking at cost at Ensham, we have made good progress in identifying a number of contracts where we have been able to negotiate better rates. These benefits will come through in the second half of the year. The group generated adjusted EBITDA of ZAR2.1 billion for the first half of 2024, with Ensham contributing approximately 48% in the period under review. The adjusted EBITDA margin for South Africa was approximately 10%, whilst Ensham margin was 21% for the reporting period. The decline in earnings in South Africa was mainly driven by lower realized prices, which partially offset the weaker exchange rate and lower royalty expenses. The earnings headwinds previously discussed include the impact of inflation as well as increases in selling expenses, notwithstanding lower sales volumes. The lower production costs offset some of the headwinds we experienced during this period. So let us now turn to net working capital. So the release of approximately ZAR300 million during the first half of the year was mainly due to the inventory drawdown, offset by higher receivables due to comparably higher interim sales in June 2024. Payables are higher, mainly due to a portion of the interim coal sales recorded at the 2023 Japanese Reference Price of $199 per tonne, which is higher than expected prices in 2024. While we have invoiced these sales and received cash from our customers at the 2023 settle price of $199 per tonne, revenue has been recognized at the spot price on 30 June 2024 of $133 per tonne. So once the 2024 prices settled, revenue will be adjusted to reflect the settled price, while the cash received above will be settled and repaid. The slide on the screen aims to unpack net cash in the movement since December 2023. You will recall that at 31 December 2023, the net cash balance was ZAR10.2 billion. You also recall that when we announced our 2023 full year results, we declared a final dividend of about ZAR1.4 billion as well as a share buyback of up to ZAR500 million. So we've, therefore, we collectively distributed approximately ZAR1.8 billion to shareholders in the first of the year -- first six months of the year, sorry. For the first six months of 2024, we then generated the ZAR1.7 billion in net cash from operating activities. Of this end of the period, we reserved ZAR815 million to refund potentially Ensham customers were charged at the higher Japanese Reference Price pending conclusion of the 2024 prices. We also continue to invest in the business. We've spent approximately ZAR700 million on sustaining CapEx and a further ZAR800 million on the life extension projects in the reporting period. In addition, we made a significant contribution of ZAR855 million as cash collateral into an escrow account to secure the environmental guarantees in Australia, which has enabled to transfer the mining tenements to Thungela during the period. The amount of cash collateral is higher than we had anticipated, and it's linked to the current licenses at Ensham. This cash collateral will however be revisited as soon as we secure the third and final mining license, expected during 2025, which will extend the life of Ensham to approximately 2038, allowing for a longer period to build up the cash collateral. As a result of these cash movements, the net cash balance at 30 June was ZAR6.7 billion. Thungela has a clear capital allocation framework, which seeks to prioritize returns to shareholders, while collateralizing our environmental liabilities over time. Our dividend policy, which is to maintain the dividend power of at least 30% of adjusted operating free cash flow as a base dividend is the core principle of this framework. As mentioned earlier, total shareholder returns of ZAR441 million, so a combination of the interim dividend of ZAR2 a share and the share buyback up to ZAR160 million represents close to 50% of our adjusted operating free cash flow. Given the ongoing funding requirements for Elders and Zibulo North Shaft life extension projects, we continue to reserve ZAR1.7 billion to complete these projects. This amount reflects the revised cost to complete on this project, which July mentioned earlier. We will also reserve a further ZAR120 million for environmental liability cash contributions in the second half. As a result of the dividend declaration, the cash buffer will reduce to approximately ZAR4.4 billion, which is within the range we remain comfortable with to operate given the current point in the price cycle. 2024 guidance remains unchanged other than the production upgrade at Ensham following the strong production in the first half of the year, where we are increasing the production guidance to between 3.5 million tonnes and 3.8 million tonnes on a 100% basis. Although we are expecting to traverse two geological faults in the second half of the year, we are currently planning the optimal deployment of production sections with the inclusion of a fault crew to maintain the current production momentum. While we expect higher production at Ensham and the result in lower unit costs, we maintain a slightly conservative stance on the guidance, as we anticipate noncash costs relating to rehabilitation liabilities to potentially impact per cost per tonne as we reported. These rehabilitation costs will be more clearly defined in the second half of 2024. We are therefore keeping the Ensham FOB cost per tonne unchanged. So with that, let me hand back to July to wrap up for us.
July Ndlovu: Thanks, Deon. And let me wrap up before handing over to Hugo for Q&A. Our promise that everyone returns to home safely every day is unconditional and sacrosanct. It infuses all activities in our business. We are laser focused on controlling the controllables as we position the business to take advantage of the strong long-term fundamentals supporting coal demand. We are pleased with the performance at Ensham, which has resulted in the production upgrade at the mine. We will continue to drive productivity and improve the cost competitive across all our mines in order to maximize the full potential of these assets. We are confident that our disciplined capital allocation approach will ensure that Thungela delivers value for our people, communities and shareholders over the long term. Our purpose to responsibly create value together for a shared future remains the North Star that guides our ambition and every decision that we take in together. And lastly, I'd like to thank our employees for their dedication and commitment; and you, our investors, for your support of Thungela, as we continue to chart this pathway forward. Thank you very much, and back to you, Hugo, for Q&A.
Hugo Nunes: Thank you, July. We will now move to Q&A. A reminder, that if you wish to ask a question directly, please join the conference call facility using the link you would have received upon registration. Dialing star one will indicate to the operator that you would like to ask a question. For those who have submitted questions via the webinar platform, I'll be reading those out. Operator, please could I ask you to open the line for our first question.
Operator: Thank you. First question comes from Brian Morgan from RMB Morgan Stanley. Please go ahead
Brian Morgan: Thanks very much for that time, guys. Two questions from my side. Can you give us a little color on ForEx hedging, what's your exposure is for the second half and what sort of price levels you're at there? And then the second question is on the ZAR4.4 billion cash buffer. Maybe just a bit of commentary around that, perhaps why ZAR4.4 billion? Why not ZAR4 billion? Why not ZAR3 billion? Why not ZAR5 billion? Could you just flesh that out for us a bit?
Deon Smith: Yes. Good morning, Brian, thank you very much for your questions or for your two questions. So on the ForEx hedging, you'll pick up on a note in our interim financials that we would be -- that we've put on our website today, that we have north of $400 million that we've sold forward, around ZAR19.30, actually between ZAR19 and ZAR20 per dollar. And that's resulted in the fairly significant mark-to-market that you would have seen at the end of June. Now clearly, with further ZAR strength we've seen subsequently, that conversion of dollars is likely to remain a tailwind for us, unless, obviously, the direction of currency changes. In terms of the cash buffer, you will recall that quite some time ago, we've always said that we would be comfortable with a cash buffer. And initially, we sort of had a range of ZAR3 billion to ZAR6 billion, and then in executing Ensham, we reduced that to a ZAR5 billion at the upper end. And we've said that we would like to continue to be able to meet our obligations but also continue to distribute cash to shareholders through the cycle. So therefore, the Board remains fairly comfortable with that type of cash buffer. And as you would have picked up, clearly, that excludes the ZAR1.7 billion that we reserve to finish our key life ex projects, it excludes the environmental cash that we've had to set aside in Australia and that excludes some of the cash we set aside to settle contracts under the Japan Reference Price. So our balance sheet is still fairly robust, notwithstanding that it might have breached what we would have anticipated as a ZAR5 billion number, it's still within that range that we're very comfortable with ZAR3 billion to ZAR5 billion odd cash buffer.
Brian Morgan: Thanks, Deon. Can I follow up? I don't know if you've spelled this out in the release or not, what's Japanese Reference Price that you assumed in ZAR815 million?
Deon Smith: So Brian, in the first half of the year, we've issued certain invoices at $199 a tonne, which was the 2023 prices. We've, therefore, received that cash. We, however, on 30 June 2024, recognized our revenue at the spot price on that day, which is $133 a tonne. So we're expecting the settlement to land somewhere between the $133 and the previously flagged reference price, which hasn't fully settled yet of $145 a tonne. So somewhere between those were anticipating it to settle. So what we've taken is a fairly conservative view on our earnings and revenue by using the spot $133. And we're confident that we will settle it above that, and that would, therefore, be a slight earnings tailwind. But as you can imagine, then the delta between the $199, and let's call it somewhere between the $133 and the $137, would have to be refunded. So the ZAR815 million is a fairly conservative number, but well provided for.
Brian Morgan: That’s very good. Thank you, Deon.
Operator: The next question comes from Ephrem Ravi of Citi. Please go ahead.
Ephrem Ravi: Thank you. You had mentioned that the TFR was operating well in June and July at 50 million tonnes. Are you still seeing that in August? And also related to that, do you think the agreement expires in March 2025, what's your order of priority in terms of, of the TFR, I mean is it rates or is it penalty clauses or is it reliability? And secondly, can you give a bit more detail on the realization premium discount you're expecting at Ensham in the second half and into 2025? Can you repeat also what the royalty credits that you are expecting from Ensham and at what point? Thank you.
Deon Smith: I'm happy to take the second half of that and then hand back to July on TFR. So the second half of it, which is slightly more mathematical, and therefore, easier to answer than predictions on TFR. And in terms of the discount, you would have seen that the first half discount was wider than what we anticipated. Whenever we quote a discount, you have to also reflect on the price that we're assuming or that we are -- have made an assumption on for the following period. So for example, the core reason why discounts at Ensham were wider in the first half is because, when sales were concluded towards the tail end of 2023, the price on the board [Newc] (ph) was much higher. And therefore, the firm discounts that we agreed in absolute dollar terms were higher. If you now look at that dollar as a percentage of a lower Newcastle price in the current period, yes? So that is just putting that out to clarify why discounts were wider. Therefore, if you look forward to the next six months, it depends on where Newcastle moves to. So typically, if Newcastle had to increase, given that we now have these firm dollars per tonne, you would essentially see that, that $1 a tonne we've agreed we come a smaller percentage relative to what it likely will result in, yes, and vice versa. So there's essentially a price that we've agreed to sell at in the future. And if Newc is higher than that, clearly, we could face a very different percentage outcome. In terms of royalties, we didn't quote the exact number that we're expecting the royalty credit. But it's the delta between sort of AUD22 a tonne and AUD15 a tonne. So that's the delta that we think we ought to have paid in royalties compared to what we paid. So if you extrapolate that, you could get anywhere between ZAR120 million and ZAR170 million, ZAR180 million. Order of magnitude, royalty credit in the second half of the year.
July Ndlovu: Then on your question on TFR performance with reference to June and July, where we saw performance beginning to be above 50 million tonnes per month, we see those as encouraging green shoots. And clearly, the work that they were going to do in the shutdown set us up for what is likely to happen in the remainder of the year. Let me just check that you can still hear me.
Ephrem Ravi: Yes, we can.
July Ndlovu: Okay. Great. The biggest indicator of what will happen in the second half of the year for us was primarily how quickly these guys came up post the shutdown. And it's just two weeks after the shutdown. And what we can see at the moment is they are ahead of where they were last year and the year before that, and that's very encouraging. So we think that when we say the building blocks that they are putting in place should deliver implements in 2025, we're seeing the early shoots associated with that. That's pleasing. We have opted to take a more pragmatic view, we say are likely to see any improvements between now and year end. But clearly, if there were improvements, we should will see us being able to rail more and sell more than we're currently focusing. In terms of the long-term agreement and what's important to us, I think it's all of the above that you have described. But it's early days for us to really begin to agree the nuts and bolts of that agreement. But as you can imagine, I mean, we want to be sure that we can get the volume that we require at a competitive cost, that it's reliable and that the investments that are required to go into making sure that the rail infrastructure and the above-rail infrastructure is reliable and cost-effective are being done. But it's way too early for me to give you a sense of that.
Ephrem Ravi: Thank you. If I can just ask a very quick follow-up on the Australian volumes. How much of it is typically sold forward, just so that we can get a sense as to the volumes that have already been committed to with the price?
Deon Smith: Most of the Ensham sales book has been sold, with approximately 20% to 25% against fixed price arrangements and the rest typically against a Newc plus a discount. So most of it has already been sold for the balance of the year. So therefore, clearly, with those fixed price contracts that I'm referring to, if Newcastle runs materially higher than those fixed price contracts, then clearly, you'll see a widening of that discount. Or if Newcastle dips below them, you could find yourself in a premium territory, which is what happened in the second half of last year.
Ephrem Ravi: Thank you.
Operator: The next question comes from Ben Davis of Panmure Liberum. Please go ahead.
Ben Davis: Good morning, July and Deon. Just a couple of questions from me. I just wonder if we could get a bit more color on these free-on-truck sales that you had in the second half, the 400,000 tonnes, what we think that they're looking at going forward? And kind of how much additional in terms of cost, are they roughly in rand and/or dollars per tonne? And then also a few on Newcastle also. I don't know if it's related, but then the kind of contractual sales obligations that you had to meet. Again, what sort of color do we expect in the second half? Are those domestic or international? Thanks.
Deon Smith: Thank you, Ben. I might need to just test with your second question, the contractual sales obligations, whether you're also referring to the free-on-truck sales, but I'll do so...
July Ndlovu: He's referring to the follow-up bridge, we talked to the sales that we had to make post the derailment, whether those...
Deon Smith: Thank you for clarifying, July. Ben, good to hear your voice. So the FOT sales were concluded at approximately ZAR500 a tonne. They're byproduct sales, yes? So these are sales of middling’s that gets generated as a result of a two-stage wash in our process. We focus on the primary product, which absolutely needs to earn a seat on the train. But then these coal tonnages build up across our mines over time, which is slightly lower quality coals. We did 400 give or take, in the first half, we're likely -- to answer your question more directly, we're likely to repeat that. So again, 400 roughly, it could be slightly more in the second half of the year. And that's essentially, therefore, if it's a byproduct, that adds to revenue and not necessarily other measures. But good to get the cash rather than see it on stockpiles. In terms of the contractual sales, let's assume that Transnet shut, which we -- all the information we've seen so far is that it has been successful and they've dealt with a number of issues that have previously caused those derailments that we reported. We shouldn't repeat those contractual call buy-ins. We don't have any firm contracts on it. It's -- there's a bit of it in the early half of the second half, but not much. Therefore, we shouldn't repeat it as a result of derailments, unless we obviously have a derailment. So it was just to cover contractual positions at port, where we didn't have the right qualities immediately following the derailment.
Ben Davis: Perfect. Okay. Great. So those -- the free-on-truck and the contractual sales, those are two separate entities where you aren't trucking to meet export market obligations?
Deon Smith: Correct. Correct.
Ben Davis: Great. That’s perfect. Thank you.
Operator: At this stage, we have no further questions in the conference lines.
Hugo Nunes: Thank you. I'll read out some questions. July, if you don't mind taking the first question from Siphelele Mhlongo from Sanlam Investments. Well done on the interim improvements that are materializing in the short space of time. Question one, can you provide more detail as to whether Ensham could run into rail capacity bottlenecks over the short to medium term given your improved guidance? And two, does the rail capacity have any buffers available for any additional operational growth as a result of the resource evaluation plans?
July Ndlovu: I'll answer both questions together, actually, because they are related in some way. Ensham has got a contract for roughly 4.4 million tonnes of rail and port capacity, that is more than adequate for the current performance. You'll remember I said when we reported in March that we could see that we could improve the performance of Ensham to roughly about 3.6 million to 3.8 million, but we'd love it to 4 million tonnes. We are there. And for that, we've got both rail and port capacity. If the next part of your question implies not just the buffer -- because the 4.4 million provides the buffer for the 4 million tonne of production. But should we identify brownfield opportunities that are incremental beyond 4 million tonnes, part of the reason why this piece of work is taking time is to make sure that we also answer the question, do we have the port and rail capacity? We can only do that once we know what the incremental quantum is, therefore, we can actually begin to engage with the providers of rail capacity and port capacity. But in principle, in Queensland, particularly on the Gladstone line that we run, although the volume is contracted, the line is not running at capacity nor is the port running at capacity. So all things being equal, we should be able to acquire capacity for brownfield opportunities at Ensham if we identify them value accretive.
Hugo Nunes: Thanks, July. Deon, if you could take the next one. The question is from Johannes from [indiscernible]. Net cash has declined significantly over the past six months. The key driving forces driving this decline, how are they behaving now?
Deon Smith: Good afternoon, Johannes. Yes, that's a very question. If you look at where our business is, you might recall previously we flagged that our all-in sustaining costs sort of low $90s a tonne. And clearly, when you therefore see the type of prices we've seen in the board of about $101 for the first half of the year, it gives you a sense of our cash margin, yes, and that's why we've generated operating free cash flow. Now since we printed these results, you might have seen markets have improved slightly. And therefore, only sort of a $7 or $8 a tonne improvement in price doubles our cash margin. So the price leverage, operational leverage of this business is absolutely enormous. We've seen that price tick up a bit. But clearly, that is only one factor. It's too early to call -- the second factor other than price is Transnet. It's too early to call exactly where we would land for the full year. But so far, July mentioned this earlier, the ramp-up this year post this has been 20% to 30% better for every day that we've seen compared to last year's or the year before. So therefore, we are cautiously optimistic that the factors that drive our cash generation should favor us in the second half, all else being equal.
Hugo Nunes: Thanks, Deon. The next question, July, if you can have a look at that. Peter Kromberg from MerchMarkt. Can you speak to Thungela's appetite for any M&A opportunities? Also, at what point is Thungela likely to draw down on its ZAR3.2 billion debt funding facilities?
July Ndlovu: Our appetite for M&A is well chronicled. We have said that we would like to divest our business where we were right to win. And we continue to look for opportunities to be able to do that. Clearly, what is important for us is to find cash-generative assets that can enhance our returns. And when we've got something, we'll obviously share that with you as our shareholders. The second part of your question, which is at what point do we draw down on the ZAR3.2 billion. If we -- if as a Board and management, we think that we have got use for that cash, that is both efficient and value enhancement, we'd draw that down. Those comps have just not come up just yet. But it's something that we continuously review as management.
Hugo Nunes: Thank you. July, one more question. Jon Ogden from Eastern Value. What is your view on how many more years will there be significant imports at ARA in Europe? Given the continent is trying to wind down all coal power plant, how would the end of exports to Europe affect your business?
July Ndlovu: You have picked up ARA or by itself how significant is inputs into the ARA in an ZAR8.7 billion demand market and ZAR1 billion seaborne market. I wouldn't call that significant. I don't know. I've said this before that as we think about the long-term fundamentals of coal, Europe, in our view, doesn't feature as a driver for our long-term fundamentals. Other than in the short to medium term where the energy conflict, particularly gas prices, here is an interplay on coal prices. But it's not -- it doesn't feature as a demand market for coal per se. What we have also said in our results, if you read the text, we talk about the ZAR8.7 billion in demand. But we also make the same observation, the IEA in their core reporting electricity report that they issued end of June, that the demand growth in the emerging markets, particularly China and India, far outweighs the declines in terms of coal demand in the U.S. and Europe. So very simplistically, our assumption is that in the long term, there'll be very little coal are going into Europe, and the demand is going to be emerging markets.
Hugo Nunes: Thanks, July. At this point, we'd like to wrap up the Q&A session. If we were not able to get to your question today, please do get in touch with me or Shreshini via our e-mail addresses that appears at the bottom of the SENS and RNS announcements released here today. With that, please allow me to hand back to July to close out the day.
July Ndlovu: Thanks, Hugo. I guess the key takeaway if you look at the results we've issued today is that we've got a robust and resilient business model that is able to continue to generate cash flows through the cycle. And our focus is to control the controllables, which is operate safely, manage our costs, drive productivity. So that if the price curve does an uptick, we can actually generate additional cash flows. Thank you very much.